Operator: Thank you for standing by, and welcome to the Superior Plus 2021 Quarter Results Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded.  I would now like to turn the conference over to your host, Mr. Robert Dorran, Vice President of Investor Relations and Treasurer. Please go ahead.
Rob Dorran: Thank you, Valerie. Good morning, everyone, and welcome to Superior Plus Conference Call and Webcast to review our 2021 Second Quarter Results. Our speakers on the call today will be Luc Desjardins, President and CEO; and Beth Summers, Executive VP and CFO. Today's call is being webcast, and we encourage listeners to follow along with the supporting presentation, which is also available on our website. For this morning's call, Luc and Beth will begin with their prepared remarks, and then we will open up the call for questions.  Before I turn the call to Luc, I'd like to remind you that some of the comments made today may be forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and risk. Further, some of the information provided refers to non-GAAP measures. Please refer to Superior's second quarter MD&A posted on SEDAR and Superior's website yesterday for further details on forward-looking information and non-GAAP measures. I would encourage listeners to review the MD&A as it includes more detail on the financial information for the second quarter as we won't be going over each financial metric on today's call. This will allow us to move more quickly into the question-and-answer period. I'll now turn the call over to Luc.
Luc Desjardins: Thank you, Rob, and good morning, everyone. Thanks for joining the call. We're still dealing with various levels of COVID-19 restriction in our operating region, primarily in the Canada, but also some parts of the U.S., especially commercial business. I'm proud of our team's commitment, safety, reliability and we continue to provide the social view and services to our customer. I would like to start with some highlight from the second quarter and recent weeks following the end of the quarter. We have been busy in 2021, and we are in a good position to achieve our superior way forward target set out at our Investor Day. Nothing has changed in our mind and from the mid and long-term of where we're going to get. On May 20 -- 25, we hosted Virtual Investor Day, where we unveiled our next strategic plan, the Superior Way Forward. The Superior Way Forward is focused on growing our business through acquisition as well as through organic growth and continuous improvement initiative.  At our Investor Day, we also set our acquisition target of $1.9 billion and our EBITDA target of $700 million to $750 million, both targets are anticipated to be achieved by 2026. We have made great progress in our acquisition initiative in 2021, with approximately $600 million in acquisition announced and/or completed, including the recent announcement of Kamps, which should be closing during quarter 3.  That is approximately 30% of our acquisition target achieved in the first year. It is a good year because the pipeline is very robust and with the tax potential effect in the state, many entrepreneurs are looking at selling their business. We recently announced Kamps acquisition, provides us with a significant operating platform in California, which expect should enable us to generate a high level of synergy when we make future tuck-in acquisition in California and surrounding state. But don't forget that at the base of every acquisition we make, either it be Kamps or Freeman, we do still see line-by-line how we're going to get a major improvement in the EBITDA of business we acquire. Kamps is one of the largest independent propane retailer in California and a well-established business with retail and wholesale operation that should complement our existing business in California. With retail location in California, Nevada, Arizona, Kamps is expected to provide us with more opportunity to expand in Western U.S. and then the Kiva, Kamps wholesale propane business operate across 16 states in the Western U.S., which is expected to further expand our reach into new territory and allow us to use our wholesale natural gas liquid expertise on a larger scale.  Kamps also has a renewable propane offering, which is a product we are excited to provide our broader customer base in the future. We expect the Kamps acquisition to close in the third quarter, and we are looking forward to welcoming their employees and customers to the Superior. On June 16, we completed the acquisition of Freeman Gas based in South Carolina.  Freeman significantly increased our presence -- it actually double our presence in the Southeast U.S., and we expect strong synergy opportunities as several of the Freeman locations are located close to our existing operation in the North and the South of Carolina. Freeman also has an attractive customer base as the business services many suburban neighborhoods in the Southeast. Increasing our footprint and utilizing our back-office capability, Freeman is expected to increase the synergy opportunity for future acquisition in that region as well. The acquisition of Williams in July is a great example of increased synergy opportunity following the acquisition of Freeman, as Williams also operates in the Southeast. In the second quarter, our results were impacted by warmer weather in the U.S. earlier in the quarter and to a lesser extent, lower average margin in both U.S. and Canada.  However, our strategic growth and operational initiatives are still on track with our plan. Our trailing 12 months adjusted EBITDA as of June 30th, including the pro forma EBITDA from acquisition complete and announced in 2021 is approximately $460 million, and that doesn't include the synergy, which we expect under past acquisition experience to be similar, but that obviously takes a good 18 months to unfold. We are seeing some modest improvement in commercial and wholesale volume in Canada as restriction related to COVID starts to ease. In the second quarter, our EBITDA from operations of $37 million was $11 million lower than the prior year quarter, primarily due to lower EBITDA from operation in the U.S., propane business and higher corporate cost.  We have -- we're going to talk a bit later about our long-term incentive, which with the stock value has taken a good $10 million extra cost that we incurred this quarter.  In the second quarter, U.S. propane result decreased compared to the prior year quarter, primarily due to warmer weather and, to a lesser extent, higher incremental operating expense related to acquisition and lower average margin due to lower commodity price environment in the prior year. The second quarter is a seasonally lower quarter, accounting for approximately 16% of the sales, but approximately 22% of the operating expense, as we are unable to completely flex all of our cost. So to give you a relativity of that, we prefer to make acquisition before the winter start, but as you do them in different times of the year, and this one, Freeman was in the spring, you end up with lot less volume and margin -- and volume for the quarter 2, but you have the full fixed cost. So it's just a little bit skew when we think quarter 2.  For that reason, we recently completed also -- it contributes less in the second quarter as we pick up more of the expense and less of the sales volumes, which comes in quarter 4 and quarter 1 of the following year. U.S. propane EBITDA from operation 2021 is anticipated to be higher than 2020, primly due to the impact of acquisition completed in 20 and then 2021, benefits from the Superior Way and seasonal workforce optimization initiative and realized synergies from acquisition. These factors have been negatively impacted by warmer weather, about $5 million less because due to the weather, which continue into the second quarter as well as lower average unit margin related to wholesale propane fundamentals and the impact from the strong Canadian dollar on U.S. dominated EBITDA.  The Canadian propane result for the second quarter were higher in the prior year quarter, primarily due to the benefit from the CEWS and increased sales volume, partially offset by the decrease in average margin related to the wholesale propane market fundamentals and customer mix. Now our internal growth sales continue to have a good strong traction. Canadian propane EBITDA from operation 2021 is anticipated to be lower than 2020, primarily due to the decrease in sales volume and average unit margin as well as the reduction of CEWS benefit year-over-year.  Partially offset by lower operating expenses, sales volumes are expected to decrease due to the impact from COVID-19 and reduced economic activities in Western Canada, especially. We are optimistic whether COVID-19 restriction will be lifted in the late part of this year, allowing our commercial customer to operate at higher capacity, which is expected to increase propane demand. Quarter 2 is a small quarter with only 16% of sale, but all the full fixed cost and the sales and full costs are making the quarter a little bit skew here, which is something to take in consideration.  But we're very confident in our game plan, and everything is on track for acquisition and integration for the mid and long term. So with that, I'll pass the presentation to Beth.
Beth Summers: Thank you, Luc, and good morning, everyone. Superior achieved second quarter adjusted EBITDA of $31.6 million, a $7.5 million or 19% decrease over the prior year quarter, primarily due to lower EBITDA from operations from U.S. propane and higher corporate costs. This was partially offset by realized gains on foreign exchange hedging contracts and higher EBITDA from operations in Canadian propane distribution.  The second quarter consolidated net loss from continuing operations was $36.1 million compared to a net loss of $0.1 million in the prior year quarter. The primary driver for the higher net loss was the increase in finance expense, which was related to the premium on the early redemption of the senior unsecured notes, a decrease in unrealized gains on derivatives and lower adjusted gross profit, partially offset by the impact of the CEWS in the current quarter.  Our consolidated AOCF before transaction and other costs for the second quarter was $9 million, a $5.5 million or 38% decrease compared to the prior year quarter, primarily due to the lower adjusted EBITDA and higher cash taxes, partially offset by lower interest expense. Now, turning to the individual business results. U.S. propane EBITDA from operations was $14 million, a decrease of $13.1 million or 48% from the prior year quarter. This was primarily due to the lower sales volumes in the base business related to warmer weather and to a lesser extent lower average margins, partially offset by the contribution from acquisitions.  Residential and wholesale sales volumes were consistent with the prior year quarter, primarily due to acquisitions offset by the impact of warmer weather. Average weather as measured by degree days across the markets where U.S. propane operates was 14% warmer than the prior year quarter and 5% colder than the 5-year average. Commercial sales volumes were 25% higher compared to the prior year quarter, primarily due to acquisitions and the easing of COVID-19 restrictions, partially offset by warmer weather. Average margins were $0.37 per liter, 20% lower than the prior year quarter, primarily due to short-term margin opportunities in the prior year quarter related to the lower commodity price environment.  The impact of the stronger Canadian dollar on the translation of U.S.-denominated gross profit and to a lesser extent the customer mix. Operating cost increased by 8% compared to the prior year quarter due to acquisitions, partially offset by workforce optimization initiatives, realized synergies and the impact of the stronger Canadian dollar on the U.S.-denominated expenses. Canadian propane EBITDA from operations of $23 million increased $1.8 million or 8% from the prior year quarter.  This was primarily due to the impact from the CEWS benefits and higher sales volumes, partially offset by lower average margins related to weaker wholesale propane market fundamentals. Residential sales volumes were consistent with the prior year quarter as the impact of acquisitions completed during the first quarter was offset by warmer weather. Average weather across Canada for the second quarter is measured by degree days was 14% warmer than the prior year and 7% warmer than the 5-year average. Commercial sales volumes were 6% higher than the prior year quarter as COVID-19 restrictions were lifted in some parts of the country, partially offset by warmer weather.  Wholesale propane volumes were 13% higher compared to the prior year quarter due to sales and marketing efforts to increase third-party spot price wholesale propane sales. Average margins were 13% lower than the prior year quarter due to weaker wholesale propane fundamentals, increase in commodity costs and customer mix.  Operating costs increased by 9% compared to the prior year quarter due to the impact from the CEWS benefit and cost-saving initiatives. Lastly, the corporate results, the adjusted EBITDA guidance and leverage. Corporate operating costs were $8.2 million, an increase of $1.2 million compared to $7 million in the prior year quarter, primarily due to higher long-term incentive plan costs related to share price appreciation in the current quarter. Interest costs decreased 13% compared to the prior year quarter due to lower average debt levels and lower average interest rates. Superior's total net debt to adjusted EBITDA leverage ratio for the trailing 12 months ended June 30, 202 was 3.3x, which is within Superior's long-term target range of 3.0 to 3.5x. In the quarter, we amended the syndicated credit facility and extended the maturity to May 8, 2026.  There are no changes to the total commitments available under the credit facility. The accordion capacity or the financial covenants in the facility. In addition, we issued $500 million of senior unsecured notes at 4.25%. The proceeds from the notes along with borrowing under the credit facility and cash on hand were used to redeem CAD400 million, 5.25% senior unsecured notes as well as CAD370 million, 5.125% senior secured notes. The extension of the credit facility and refinancing of the Canadian senior unsecured notes has further strengthened our balance sheet and debt maturity profile. So we're well positioned from a debt financing and liquidity perspective. We have updated our 2021 adjusted EBITDA guidance, increasing the bottom end of the previously disclosed guidance range of $380 million to $390 million.  The new adjusted EBITDA guidance range is $390 million to $420 million with a midpoint of $405 million, reflecting the expected contribution from the Kamps acquisition and the impact of year-to-date results. It's useful to note that the adjusted EBITDA for the first 6 months has been impacted by higher long-term incentive costs related to the share price appreciation, amounting to approximately $10 million. We would typically see this cost in the range in the 6-month period between $2 million to $3 million.  In addition, the impact from warmer weather in the second quarter was approximately $5 million as well, providing some year-to-date headwinds from our initial guidance expectations since we forecast on weather normal conditions. For the remainder of 2021, we anticipate average weather to be consistent with the 5-year average for the U.S. and Canada and wholesale propane fundamentals to be consistent with what we've seen in the first 6 months. With that, I'd like to turn the call over to Q&A.
Operator: [Operator Instructions] Our first question comes from David Newman of Desjardins.
David Newman: So propane inventories have been very tight. And you have this ongoing Saga of line five, which current could serve us to accelerate pricing into the winter even more versus the lofty level. So I guess a couple of questions on the back of that. Maybe an update on your preparations if line five is shut and alternatives. And any concern that the rise in prices could de-stimulate demand, especially on the reopening, which is actually very important. And what the margins initially pinched could it be a margin opportunity?
Luc Desjardins: Maybe Beth you can start for the wholesale and what you've done for the line five and now continuous need to on margin opportunity.
Beth Summers: Sure. So from a line five perspective, we have been proactive. We did increase our storage and secured supply with no force measures. Parts in the contract with respect to the summer months. In addition to that, we were moving rail-cars to strategic storage locations in the East. We are currently working through and being proactive for detailed winter plans. With respect to understanding where the line five issue sits. We are supposed to hear a report from the mediator finding later in August. So from that perspective, we are still working through. And our expectation would be that we will -- I'm going to say, do a little bit more of what we did in the summer in order to position ourselves well to ensure that our -- we have the supply for our customers. Arguably it has been impact Ontario the most, but also Quebec as well as Michigan and New York being that they do get some truck supply from Sarnia.
Luc Desjardins: Maybe on margin, I don't think it will change. If you have electricity, natural gas at home, you cannot decide to switch to something else. Now, oil prices are high. So you're looking at the customer what we've seen in the past is when something happened that propane commodity price becomes very high. There's no a lot of switching. What they do is they try to call it their -- we have -- we'll call a few customer will call, not much in Canada, but a bit more in the stray. Those customers say, well, what's going on, and I'll call the competitors. So there's a risk there. We could gain and lose some debt, but that's a small portion of our total volume. So -- but that's, for us, it's adjusting always. I call it, the added value by segment. How much margin do we make on the residential, commercial, industrial weren't as responsible for the propane. Now, you get some up and down of course, with an amount, you get some -- a situation that could help us or be negative. So far, it's been negative on the price of the propane. But within a month or so, you're adjusting, you keep the same margin that you should make on added value. I insisted on that 10 years ago when I joined here. So we are not in the commodity business. We don't take that risk. I'd rather have less customer, but we're not taking any risk on the commodity, which -- with a percentage to accept that sometimes you have inventory at higher price, and the price goes down, then you have a mark-to-market at the end of the month and you lose some money on that of course. But another game to take any risk with commodity.
David Newman: So to be conservative, I would assume that kind of an in sort of a commodity inflationary environment that we can assume that there'll be no sort of margin opportunities and that we should probably just forecast this kind of level that we're seeing in the Q on the CPL?
Luc Desjardins: Yes. Yes. I'd rather that we don't increase margin during that time. More customer ask more question. And if you saw -- you've seen a result of growth in the last -- more in Canada of some growth in the state. But in Canada, we're really humming on internal growth and we don't want to lose that. We've seen some major competitor in the states doing that, and they'll probably continue to do that. We're rather grow customer versus gaining $0.02 short term.
Beth Summers: Yes. And maybe, Luc, I'll just jump in here on the margin side as well. From a U.S. perspective, I think the best way to think about it as we would still expect the margin to be in that range of USD0.30 to USD0.35 per liter. And we would expect looking at 2021 that the average margin would be modestly higher than what we would have seen in 2020 for the whole year. When it comes to Canada, as we said before, that margin range to think about is between $0.14 to $0.18. And I think with respect to Canada, as you look at the year expected at the higher end, but still potentially modestly lower than what you would have seen in 2020 for Canada.
David Newman: Okay. And then, just last question for me, and I'll hand over the line. Just in terms of the margins, obviously, a lot of your competitors, especially small players have suffered through COVID. They're not as big as you guys. And now you've got this volatile commodity price and they can't -- they also similarly probably can't squeeze margins anymore in the hope that they come out of the pandemic that they could actually recoup what they lost. And now, you're facing this kind of commodity pressure on upward commodity prices. So are you seeing the funnel of players just capitulating and throwing the towel?
Luc Desjardins: No, but we've seen more competitor becoming for sale, and we have a few even in Canada that are raising their flag. And we'll -- I think when it comes to Eastern Canada will be the -- I don't think we have a lot of competition anymore to acquire business. And then, this stays the same. When you look at government regulation, when you look at ESG, when you look at what's happened in the past 2 years with propane with the blockage, which we were able to supply 100% of our customer, a lot of small and mid competitors were trouble. There is a lot more -- you need to be big and you need to have the scale. I always insist that we do build a good SGL wholesale business for all of those reasons. And what Beth and the team has done in SGL. They've secured at a bit higher price. We're paying a bit of insurance for that. More liquid for Eastern Canada due to line five, even though we all believe it's not going to happen. We're in the business of taking that kind of risk. And we're planning the same kind of arrangement for this fall and winter. So it helps to have a size. It helps to have the wholesale scale more and more down in California and with Kiva, that's where covers more states. So a good mix of that and the scale we have and the professional team, no doubt competitors, entrepreneuring. I haven't -- there's too much going in my way. And you need a lot of people and talent and scale to address all those issues.
Operator: Our next question comes from Jacob Bout of BIBC.
Jacob Bout : How are you thinking about M&A for the balance of this year, given with this Kamps acquisition, you're at or through your target leverage ratios?
Luc Desjardins: Yes. The backlog and Beth can address the debt. The backlog is solid. And it continues to -- we continue to have small mid-sized opportunity. We're certainly one of the 2 or 3 strategic potential buyer of all the people that are selling. So we're in very good shape there. So what we've presented in the 5-year plan, as you could see this year, we're humming big time. I think there will be some years where it won't be as much. I think the tax issue in the state has got a lot of people to be jumping and saying, hey, I'm going to sell in the next 3 years, might we'll do it now.  But there's no doubt we'll achieve our $1.3 billion, and we'll get there. I'd always like to do things faster, quicker than we expect and plan, and this is looking good. So on the other side of -- to continue our growth, Beth, from the debt situation?
Beth Summers: Yes. And I think from a leverage, I think your question. So at the end of the quarter, we were sitting at 3.3x pro forma the Kamps acquisition, that would be roughly 3.7x. So from our perspective, and as I said before, as we looked at larger transactions, which if you take Freeman and Kamps together, that's roughly $550 million of acquisitions. From a leverage perspective, we're comfortable going up to that sort of 3.75x and then having a line of sight coming back down over that 18 to 24 month period. So from our perspective, we're going to continue, as Luc saying, there's -- we've got a strong funnel. Typically, we have seen fewer deals historically between now and during the heating season. We tend to find owners and businesses compering down just dealing with getting the business done. Throughout that period, it does tend to pick up in the spring. But that being said, as Luc said, we're committed to our strategic direction for that $1.9 billion of acquisitions over the next 5 years. So the reality is, we'll keep looking at them as they make sense from a shareholder perspective, we'll move forward and we'll ensure from a shareholder perspective that we've got an appropriate capital structure. I will say, when we did NGL from a credit rating perspective, we did touch 4x for a period of time with that line of sight to come back down. So certainly, we'll make sure that we're doing what makes sense for everyone in the context but shooting towards achieving that strategic direction.
Luc Desjardins: Yes. And I'll add to that, the timing. I did mention it a bit in my presentation. What's happening is when the winter starts, everybody's hands on deck, every competitor, every propane company, that's do deal with servicing customers. Then, the spring comes and then whoever is for sale, we get the trials and we go -- we do the visit. And so, you end up buying business in quarter 2, 3 and that are less sales than the full cost. So it's not ideal. And when you get to the fall over 12 months, you recuperate that. But you -- we're kind of forced in an industry that we cannot buy doing a 12 one trip at the best time because everybody is busy and only one that's going to work for us, which is the first one I can think of for a long time, it's can because it took us so long, and it still has an issue to -- before we close, and we're talking quarter 3. So that's why one will capture the right time. And it's good to have one of those. So I'll leave that back.
Jacob Bout: Okay. And then, maybe my second question here just on -- have you had any updated conversations with Marqui? I mean, they're getting close to their 20% stake?
Luc Desjardins: It's been a while. We're -- I intend to call them after this quarter. And I'm traveling also to the state, and I know that the CEO does travel to Philadelphia. So we might -- hopefully, we could pick the right time to me. But if not, we'll do it by phone. Yes, I intend to call soon. There in the 19 range right now. So there's still a little bit of room. And I'd like to have a chat with them. They're becoming such a large shareholder who want to treat them well and communicate properly with them at the right time. So nothing in the last quarter, but probably have some news in the next quarter.
Jacob Bout: But no discussion about a board seat or anything along those lines?
Luc Desjardins: Not yet, not yet. Probably expecting it, but not yet. We'll see what the discussion. Yes.
Operator: Our next question comes from Ben Isaacson of Scotiabank.
Ben Isaacson: 2 questions for me. The first one is, Beth, you talked about being at 3.7x pro forma. And historically, you've been willing to touch 4x. When you think about the opportunity set in front of your near term, is issuing equity a possibility or is that off the table right now?
Beth Summers: Well, I mean, I think from our perspective, as I mentioned before, from a modeling perspective, when we targeted numbers like a $550 million for those 2 acquisitions together, we're certainly comfortable. We want to ensure that we have our BB credit rating, which we are comfortable with in that range and then have that line of sight to come down. I think from that question, the reality is we'll continue to look at acquisitions. We're going to balance various pieces and then do what we think makes the most sense from a shareholder perspective. So that's how it impacts on acquisitions as well as how it would impact and how we look at our capital structure.  But again, we are comfortable, and we do model looking at in and around that 3.75 range with that line of sight down. And just to flag, that 3.7% is pro forma with no synergies as well. So as those synergies roll in, it's obviously lower, and it's more in that range of probably looking at that 3.5 to 3.6x when synergies are rolled in.
Ben Isaacson: Great. And then, my final question, Luc, can you talk about the regulatory environment in Canada and California in the U.S. Northeast as it relates to antitrust. Are there any concerns that your market share is getting too big or are you too far away? I know you had mentioned some opportunities for M&A in Canada, and I wasn't clear whether that would push up against those boundaries?
Luc Desjardins: No. We looked very good. And when you think about Ontario, Quebec, we're still in the 25% range. And I don't see any problem getting to the 35%, 40% without an issue. We've done it in West. So we expect the same in the East. So no issue there to continue to grow. And we can, if a state, it's absolutely like lots of room here. It's a huge industry. When you think of energy, now representing 5%, 6%, 7% of total energy. Our market share, I think, with all the acquisition we've made. The largest one of that 10%, 12%, maybe Rob can talk to that. I think 25% is the 3 large one together. And over $1 billion of EBITDA, and they only represent 25% of the market. Any more specific point, Rob, on that?
Rob Dorran: No, I think in most markets that we operate in, there's at least 7 and 10 competitors, and I think Americas being the largest overall in the U.S., they're only 12% to 15% of the market. So no concerns there.
Operator: Our next question Daryl Young of TD Securities.
Daryl Young: Just a couple of quick ones from me. First, the pace of M&A has obviously been very impressive. I'm just wondering around the integration side of these deals and the synergy realization. Would you say maybe there's a greater risk this time around than previous transactions, just given there's so many going on simultaneously?
Luc Desjardins: That's very good question. So -- and I'm going to visit the state in 2 weeks in the full session on the integration of, let's say, Freeman, the large Slide 1. So the way I looked at it is we know enough -- the business model is developed, the TPI and the -- where the opportunity are from top to bottom. So I don't see any risk. But what we do sometime, if we buy 1 million EBITDA business, the focus to wait the next 2 or 6 months could be there because we're busy with the Freeman large integration and marching on to the large one. So we'll have parallel the cat and Freeman not missing the beat because they're large. And then do we miss the beat on $1 million or $2 million EBITDA, and we capture it and do it in 6 months, that will happen because there's so many. But trust me, integration and execution in my career is #1 and 1A. So we're not going to let go of all the potential synergy of what we acquire.
Daryl Young: Okay. Great. And then, the $460 million LTM EBITDA number that you reported, that does not include any synergies, correct?
Beth Summers: Yes. No, it is not, it is exclusive synergies.
Luc Desjardins: And it takes a good 18 months, and you don't do much in the winter time. We don't want to miss the beat on customer again. So it's an 18-month process.
Daryl Young: Okay. So we shouldn't expect the full amount of potential synergies from all these deals to come through in 2022, particularly Kamps and Freeman, probably no synergies?
Luc Desjardins: No, there's always some. There's always some. But if you take the full 25% gain, there is always some upfront, I'd call it 5%. But then, you finish the winter and then you get going in the spring of 2022, very hard at it, and you start to see the last quarter 2022 and then the full year 2023.
Daryl Young: Got it. And then just one detailed question around the CapEx. The sustaining CapEx doesn't look like it's changed for Kamps or Freeman. Will that be updated in the future or is that sort of a run rate, the $120 million to $140 million?
Beth Summers: I think the $120 million to $140 million is a reasonable range to think about it. We'll update that guidance for 2022. But I wouldn't expect any material change as a result of those 2 acquisitions.
Luc Desjardins: And those 2 owners have run the business from a CapEx very well. So their fleet is more modern. There's nothing -- there's no old stuff. There's even a new plant in California that they were opening for retail. So they've done a good job. Those 2 owners have not falling behind on the capital investment, which is good news.
Operator: Our next question comes from Patrick Kenny of National Bank.
Patrick Kenny: Just a follow-up on your increased presence in California. But I guess more related to the accelerated push out west towards renewable fuels between now and 2030. And I understand Kamps, I believe Kamps was already looking at opportunities to source renewable propane. But would you have an update maybe on how much of your California supply might potentially come from renewable feedstocks over the next few years? And then, also, any sense as to what this could mean financially to your California franchise just based on the existing LCFS and other credit programs out there?
Luc Desjardins: Yes. So we're -- this is very new for us in 2021. We're doing a lot of work to find about who's going to be taking plastic order products and turning it into bio-propane. And we have good connection in California for what's coming, and we expect to be able to take the offshoot of that production for BIO. But to start to calculate how much of all those plants are building to take -- to transform into bio-propane. We know the player. We're talking to them. I want to capture it as much as possible. I don't know how much of the total volume would be there. I know that we will not lose margin by selling bio-propane. Might be that we might have be able to make a few penny more because it's bio-propane, but I don't see a reduction on margin because of that. And I can assure you that it's on our top rager and priority number 1 with bet and a leader in the SGL. Who's going to do that? Where are they? Let's meet them and let's capture the volume when it comes to production.
Beth Summers: Yes. I'll just -- I'll add to that, where we are currently working on our longer-term strategy to lay out what we want to do going forward with respect to this. And I think the reality is there's no significant customer demand yet really because the supply is limited. I think you've got your synthetic renewable as well as your bio-propane. So we'll obviously go down both of those avenues and look at those. It could be higher as Luc saying, higher cost of demand increases. Interestingly, right now, it appears that the pricing for the renewable propane is similar. But of course, that will change as the market changes. But as Luc said, that's going to be something that we look at and becomes part of how we approach our procurement of propane in the future, and then that's something that will -- we're working on that defined strategy for going forward.
Patrick Kenny: Okay. That's great. Yes, it sounds like something to keep a close eye on. And then, Beth, maybe just as a follow-up on your FX hedging. So it looks like you're about 2/3 hedged for next year, but then dropping down to maybe 1/3 for 2023. So perhaps, just can you remind us what your current EBITDA sensitivity might be for a $0.05 change in FX? And also, if you're inclined to be a bit more patient here on layering on additional hedges until you can lock in, say, $1.30 or so, or do you simply look to add hedges even at the current rates, just given, like you said, the leverage is already at the top end of your comfort zone?
Beth Summers: Yes. So from an FX perspective, the way that we approach FX is we will roll it in over time. So we -- the way that our policy works is we will hedge potentially out 5 years, depending on where the rates are and where they sit in the context of the 20-year average. So I would -- if you look even historically, we would always have less hedge 2, 3 years out than we would in the current year where we want to be close to fully hedged, if not fully hedged in the current year. A $0.05, if you look out 3 years, probably you're looking at exposure in the range of $10 million to $15 million in the future. If you want to think about it but that's 3 years out. If you think about it in the context of this year, we only really have a nominal unhedged amount. So again, there wouldn't be a material impact of a $0.05 change for the remainder of this year.
Operator: [Operator Instructions] Our next question comes from Joel Jackson of BMO Capital Markets.
Bria Murphy: This is Bria Murphy on for Joel. Just a follow-up on that last FX question. I guess, just thinking about into 2022, if currency rates hold at current levels, what kind of currency impact would there be to earnings next year?
Beth Summers: From that perspective, I think the best way to think about it is in and around a $5 million range, right, impacting on the unhedged portion, obviously, the hedged portion is covered.
Bria Murphy: Right. Okay. And then, just back on the 2021 guide, what's the expected contribution from Kamps this year? And then can you just walk through what other changes were made in base assumptions leading to the $5 million increase in the guide?
Beth Summers: So from the Kamps perspective, the expectation for this year would be in the range of $8 million to $10 million. And the rest of your question, which I think was just around sort of where the 5 comes from. You have increase or improvement associated with the acquisition. So you've got Kamps as well as Freeman. So think of that in a sort of $13 million to $15 million range. And then, you have from our original expectations of the year, this is where you have the headwinds, which we faced from LTIP as a result of the share price, where at December 31st, it was sitting at $12.18 and we're now sitting in sort of mid- $15 range. So that is much higher than we originally expected. So that's having an impact as well as in Q2 when we saw that $5 million weather. There's other ups and downs. But those are -- I'm going to say those are sort of the 3 pieces that are the largest to point of.
Operator: I'm showing no further questions at this time. I'd like to turn the call back over to Luc Desjardins for any closing remarks.
Luc Desjardins: So to wrap up, I think I'd like to thank our management and employees. I'm very proud of all of our accomplishments today, 2021, and their action we have undertaken during COVID-19 and continue servicing our customer. Thank you all to participate. I can assure you my feeling of where we are at, even with this small quarter that always have some tweaking, more difficult to analyze, I think, we're in good shape. And of course, there was the $5 million in weather. There's a 10 million untap. Everything else is business as usual. And we expect with normal weather in the fall, we expect the rest of the year to be good. And of course, with all those acquisitions and a little bit of integration, 2022 is going to be moving to the next level. So on that, I will thank you all for participating and looking forward to the next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all participating. You may all disconnect. Have a great day.